Operator: Good afternoon and welcome to the Preferred Bank Fourth Quarter 2019 Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Tony Rossi of Financial Profiles. Please go ahead.
Tony Rossi: Thanks Gary. Hello everyone and thank you for joining us to discuss Preferred Bank's financial results for the fourth quarter ended December 31, 2019. With me today from management, our Chairman and CEO, Li Yu; President, and Chief Operating Officer, Wellington Chen; and Chief Financial Officer, Edward Czajka. Management will provide a brief summary of the results and then we will open up the call to your questions. During the course of this conference call statements made by management may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon specific assumptions that may or may not prove correct. Forward-looking statements are also subject to known and unknown risks, uncertainties and other factors relating to Preferred Bank's operations and business environment all of which are difficult to predict and many of which are beyond the control of Preferred Bank. For a detailed description of these risks and uncertainties, please refer to the SEC required documents, the bank files with the Federal Deposit Insurance Corporation or FDIC. If any of these uncertainties materialize or any of these assumptions prove incorrect, Preferred Bank's results could differ materially from its expectations as set forth in these statements. Preferred Bank assumes no obligation to update such forward-looking statements. At this time, I'd like to turn the call over to Mr. Li Yu. Please go ahead.
Li Yu: Good morning. For the quarter ended December 31, 2019, our bank has earned a net income of $1.31 a share. This is a slight decrease of $0.01 from the previous quarter, but we would have been able to report the same amount, but our effective tax rate has increased to 30.5%. For the year, we have earned net income of $78.4 million or $5.16, which compares reasonably well with the previous year. Fourth quarter loan growth was $53 million, a little less than 6% annualized. A number of the loans was pushed to January because the holiday season just find -- closing on time is difficult. For the year, our total loan growth is $392 million or a little less than 12%. First quarter deposits growth -- I mean, fourth quarter deposit growth was $114 million on an annualized basis of 12%. For the year, our total deposits have grown $344 million or 9.44%. As we are all aware of, there has been three rate cuts right in between July and October. All these rate cuts that financially affect are all fully reflected cumulatively in the fourth quarter pace [ph]. Our interest margin therefore declined to 3.67%. For the year, our net interest margin was 3.92%, a 16 basis points reduction from previous year. The interest rate outlook seems to be stable; and if that's the case, our net interest margin will stabilize in early 2020 and gradually improve thereafter. I’m happy also to report our cost control is in effect. We basically operate pretty much the same at the same cost of previous quarter or previous year. And our efficiency ratio is 32.6% for the fourth quarter and 33.3% for the year, and we believe such effort can be continued in the ensuing year. Thank you so much for your joining the conference phone call. I'm ready to answer your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Steve Moss with B. Riley FBR. Please go ahead.
Steve Moss: Good morning.
Li Yu: Good morning.
Steve Moss: I just want to start on loan growth there. I heard Mr. Yu said it was pushed out to January. Just wondering could you just quantify how much growth you're looking for in the first quarter?
Li Yu: Probably, I don't know how much first quarter is. Loan production will be – it would slip into the first quarter. At every quarter end, there's some slippage to the next quarter, but the extraordinary in my estimation probably in the $40 million to $50 million range.
Steve Moss: Okay. That's helpful. And then just in terms of the overall loan pipeline, I judge by your comments, it still sounds like it's pretty strong, but paydowns are challenging.
Li Yu: We’re able to produce a whole lot of loans during the year. We have a great origination effort during the year, but past year we’ve been experiencing very, very heavy payoff activities. So, we actually originated a little bit over $1 billion on new loans outstanding, but the payoff is almost $700 million. So, from that point on, we have not seen the short of the loan activities, but the coming year with the stable interest rate environment, if it has continued that way, we hope to be able to repeat the same effort, if not improving on that, but it's hard to tell.
Steve Moss: Okay, that's helpful. And then on expenses, just with -- I hear you on the cost controls. But this quarter seemed exceptionally low and maybe a little bit kind of one-time nature of the professional fees and a few things coming in, just wondering what you're thinking for the first quarter of 2020 or if we're at a pretty good run rate here with this quarter’s number?
Li Yu: Ed, do you have some feeling about that?
Edward Czajka: Yes, so as you know, we’ve got some benefit from the FDIC insurance premium in Q4, I think I pegged that at about $450,000. So really, you add that back and you get back close to really what the run rate should be on a go-forward basis. In terms of professional services, there's a number of things in there, Steve, obviously legal fees, and then consultant and as well as IT costs are in there as well. And as we have been on the kind of the back end of our major core conversion from the middle of 2018, we’ve been continuing to work and we've been engaging people to continue to work on our systems. So, we're starting to see that come to a slowdown now in terms of the overall investment and effort on the heels of that conversion. So part of that is that reason, and then legal fees are down this year as well because we did not have other credit issues that we had in the previous year.
Steve Moss: Right. Okay, that makes sense. And then my last question, Ed on CECL, what should we expect for the impact in the day one and so forth?
Edward Czajka: Well, at this point, it's tentative, but we have a range, and that range would put our ALLL to total loans probably about 15 to 20 basis points higher than where it is right now. So but obviously that is subject to change. As you know, that's kind of a year-end look, we don't implement CECL obviously until 3/31. So that's subject to change, but that's kind of where we think it's going to fall kind of in that neighborhood.
Steve Moss: All right, thank you very much.
Operator: Your next question is from Aaron Deer with Piper Sandler. Please go ahead.
Aaron Deer: Hey, good morning, everyone.
Edward Czajka: Hi Aaron.
Aaron Deer: Ed, just curious, is there any remaining FDIC credit to be realized this year or was that fully exhausted in the fourth quarter?
Edward Czajka: I think we have a little bit left Aaron, not a material amount.
Aaron Deer: Okay. And then it's, I think Mr. Yu and Eddie both kind of commented that the margin is likely to stabilize here early in the year and then maybe see some expansion as we move through the year. Could you give us some specifics in terms of what gives you that confidence, what's driving that in terms of, what volume of CDs are going to be repricing and what the average rate is on those that relative to what you guys are paying today. And then what is lingering in terms of on the loan side that could still see some repricing yet?
Li Yu: Yes, first of all, we have about between $100 million to $150 million of TCD to be repriced every month; and the general difference is, Ed correct me if I'm wrong, it's roughly $0.70 give and take about.
Edward Czajka: It was 87 basis points.
Li Yu: That’s maybe roughly $0.70 based on what we figured what coupon rate we're paying right now. So this as we go on, as you can see that will be a – have a continuing effect on reducing our interest costs. And as natural for any and every [indiscernible] bank, it seems to be the loan get paid off is always carrying a slightly higher, slightly higher interest rate than the new loans being made. It's very hard to estimate or predetermine -- we don't even know which one is going to be paying off in most cases, okay, in the first quarter. So hopefully the net effect of all these kinds of situations will be leading to stabilized, if not improving interest rate in the year.
Aaron Deer: So could we see that dynamic, we see that inflection happen here -- right away here in the first quarter. Is it more likely a second quarter event before we see inflection really start to develop?
Edward Czajka: The continuing TCD cost decreases is continuing from day one. But we don't look, the things we don't know is what loan gets paid off. Okay. What coupon rate they carry as compared to new loan we’ve been making on as [multipe speakers].
Aaron Deer: Okay, thank you. I'll step back.
Operator: The next question is from Gary Tenner with D.A. Davidson. Please go ahead.
Gary Tenner: Good morning guys. I wanted to just clarify the question on net interest, excuse me on non-interest expense. Ed, you mentioned that kind of adding back the FDIC expense would get you to a run rate, but as we think about the first quarter, there's still the seasonal increase in personnel expense. Is that correct?
Edward Czajka: That is correct. We'll have the elevated payroll taxes related to the annual bonus.
Li Yu: You’re very right, you’re very correct.
Gary Tenner: Okay. And then the commentary just a moment ago on the CD repricing kind of the 70 basis point, rev repricing gap outlook. Does that continue, is that repricing gap what you'd expect for the majority of the year or is that more through first, call it couple of quarters before the kind of gap lessens in the back half of the year?
Li Yu: Well, I will give you a generality and ask for my colleagues to also add their reading about it. You see that one of the things we were subject to is competition. Okay, we cannot be unilaterally decide what we want to pay. But as of today, we're paying this particular CD rate and depending on how the competition reacts, and if competition is doing the same thing as we do, we can see this kind of saving continuing for the year until interest rate become changing until the 12-month period is as all repriced in general. So this is that, but on the other situation for instance, okay, a couple of major banks still paying 1.75% on money market, okay. So we have to spend time and effort to try to retain them even at our current rates. So, competition really is the main issue, but our coupon right now is reflecting a continuous cost reduction. Anything to add?
Edward Czajka: No, I think that says it all. I think over time, Gary, obviously as you would imagine that 70 basis point differential gets smaller and smaller as we get closer to CDs that were originated in a lower rate environment. So I think the first two quarters I think you'll see the most benefit and then it will start to wane in Q3.
Gary Tenner: Okay, that's, that's perfect. And then finally Ed, if you have available, if you could give us the cost of total deposits on average for the fourth quarter and the third quarter?
Edward Czajka: Total deposit average?
Gary Tenner: Yes.
Edward Czajka: Average cost, yes Q3 total deposit cost 157, Q4 it declined to 140. 
Gary Tenner: Thank you.
Operator: [Operator Instructions] The next question is from Tim Coffey with Janney. Please go ahead.
Tim Coffey: Thanks, good morning gentlemen. Ed a question for you and perhaps for you, for you. The trends in your demand deposits have been exceptionally strong especially in the last two quarters. What are you seeing and that's allowing you to grow those deposits?
Edward Czajka: Actually, maybe, if you really want to think about it. I think last quarter we've been lucky there. And maybe in some cases that we see at the year, some customer always bringing some, some cash to their balance sheet, whether it's by collection from the receivables or whatever are ready to pay the expenses, bonuses all those other thing in the early part of the year but in general that the bank take a priority grow demand deposits even ranking ahead of growing the loans. It's very hard for us to being our size in being were one-off type of banker, it's very hard for us to tell you right now what we think it will be okay. Now Wellington, you have a crystal ball, you want to add on that?
Wellington Chen: Tim, I don't have a crystal ball however I think that it's also add on to what Mr. Yu mentioned is our continued pursue of focusing on the chief deposit in terms of the loan, the loans that we originate and commanding the operating account, and expanding our C&I business as well and that also ties up that.
Tim Coffey: Okay. And then it's kind of do you have any idea of how much of the growth of last quarter is seasonal and that it could come out in the first quarter?
Edward Czajka: Actually, not much. We look at our first quarter deposits right now, as of today, we have actually had an increase from last quarter, quarter-end. And not much change in the demand deposit side. So far has been stable, but don't know I guess by April 30, we will have tax season. Yes, by April 30, things all change.
Tim Coffey: Understood, and then Ed, what's a good tax rate to use?
Edward Czajka: For 2020, I would use just over 30%, 30 points sub-five.
Tim Coffey: Okay. All right. Thank you very much for the color everybody.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to the management team for any closing remarks.
Li Yu: Well, thank you. We thank you for the interest in us and obviously, we considered 2019 to be a reasonably good year for us and we certainly will continue our effort. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.